Operator: Good day, and welcome to the American Airlines First Quarter 2014 Earnings Call. Today's conference is being recorded. [Operator Instructions] And now I would like to turn the conference over to your moderator, Managing Director of Investor Relations, Mr. Daniel Cravens. Please go ahead, sir. 
Daniel Cravens: Thanks, operator, and welcome, everybody, to the American Airlines Group First Quarter 2014 Earnings Conference Call. Joining us on today's call are Doug Parker, our CEO; Scott Kirby, President; Derek Kerr, our Chief Financial Officer. Also in the room for our Q&A session are Robert Isom, our Chief Operating Officer; Elise Eberwein, our EVP of People and Communications; and Bev Goulet, our Chief Integration Officer; and Steve Johnson, our EVP of Corporate Affairs.
 We're going to start the call this morning with Doug, and he'll provide an overview of our financial results. Derek will then walk us through the details on the quarter and provide some color on our guidance for the remainder of the year. Scott will then follow with commentary on the revenue environment and our operational performance. And then after we hear from those comments, we'll open the call for analysts Q&A and lastly, questions from the media.
 Before we begin, we must state that today's call does contain forward-looking statements, including statements concerning future revenues and cost, forecast of capacity, traffic, load factor, fleet plans and fuel prices. These statements represent our predictions and expectations as to future events. The numerous risks and uncertainties could cause actual results to differ from those projected. Information about some of these risks and uncertainties can be found in our earnings press release that was issued this morning, our Form 10-Q that was also issued this morning and our Form 10-K that was issued at the end of -- for December 31, 2013.
 In addition, we'll be discussing certain non-GAAP financial measures this morning, such as net profit and CASM, excluding unusual items. A reconciliation of those numbers to the GAAP financial measures is included in the earnings release, and that can be found on our website at aa.com.
 A webcast of this will also be archived on our website. The information that we're giving you on the call is as of today's date, and we undertake no obligation to update the information subsequently.
 So thanks again for joining us this morning, and at this point, I'll turn the call over to our CEO, Doug Parker. 
William Parker: Thank you, Dan, for the wonderful, dramatic reading you just did. Thanks, everybody, for being on. We are really pleased to report record first quarter profits in our first full quarter post merger. We announced today a profit for the first quarter, a record $480 million, excluding special items, a record first quarter net profit of $402 million.
 Last year, US Airways and American, combined, earned only $62 million on that same basis. So this $402 million is an increase of $340 million or an increase of 548%. Those results are thanks to a phenomenal effort by our over 100,000 team members. This was the most difficult winter season any of us have ever experienced in this business, and our team managed through it in an exceptional way and did a great job of taking care of our customers.
 The teams are working really well together. We're very pleased with the progress we're making on the merger so far. I'm quick to note that it's still very early in the process, and the hardest work lies ahead. But so far, so good. The progress to date, combined with today's results, give us confidence we're on the right track.
 And then lastly, in the release, we noted we ended the quarter with $10.6 billion in total cash and that since the merger, we have used $542 million of cash to reduce our diluted share count by approximately 20 million shares. Derek will talk more about that, but I just wanted -- I know some of you are interested in the company's plans for our cash. We spent a good bit of time discussing that in our board meeting this week. The reality is we're just 4.5 months into our merger, but we are looking very carefully at our optimal financial and capital allocation strategies and expect to announce more details as the year progresses. But the $542 million used towards share reduction, hopefully, gives you some indication of our views.
 So with that said, I'll turn it over to Derek to give you more detail, and then Scott will walk through the revenue projections. 
Derek Kerr: Thanks, Doug, and good morning, everybody. In the earnings release and 10-Q filed earlier today, you will find a lot of information pertaining to our first quarter full year results as a merged company. Just please note that the GAAP results shown today compare our 2014 performance to that of legacy AMR Corp. only, and this makes the year-over-year comparisons not meaningful.
 As such, for the first quarter 2013, we have provided our financial results on a non-GAAP combined basis, which is the sum of American Airlines and US Airways. We believe this is the best way to review our financial quarterly results. Unless otherwise noted, all of my comments will be based on the comparisons to the 2013 non-GAAP combined results, which can be found in the press release tables under the heading American Airlines Group Inc. Non-GAAP Combined Consolidated Statement of Operations. And we will do this for the rest of the year. Unfortunately, this will be the case throughout 2014.
 For the first quarter, the company recorded a record GAAP net profit of $480 million. This compares to a non-GAAP combined first quarter 2013 net loss of $297 million. Excluding net special credits, we reported a record net profit of $402 million in the first quarter of 2014. This compares to a non-GAAP combined first quarter net profit, excluding special charges, of $62 million in the first quarter 2013. Using 741 million diluted shares outstanding, we reported earnings of $0.54 per diluted share in the first quarter 2014. Our pretax margin, excluding net special credits, was 4.1%, an increase of 360 basis points year-over-year.
 Total capacity for the quarter of 2014 was 23.4 billion ASMs, up 2% from the same period in 2013. Mainline capacity was 56.8 billion, up 2.7%; and regional capacity was down 3.2% to 6.6 billion ASMs.
 We ended the quarter with 977 mainline aircraft in our fleet, took delivery of 19 mainline aircraft and retired 12 aircraft during the quarter. The remainder of 2014, we expect to continue our fleet replacement program, and we plan to retire 70 additional aircraft while taking delivery of 64 new mainline aircraft. And we will end the year at a fleet count of 971.
 In April, the company modified its fleet order book in 2 ways. First, an order with Airbus included committed lease financing arrangements with respect to 62 Airbus A320 family aircraft. The company has elected to forgo those delivery lease financing commitments and purchase these A320 aircraft without manufacturer-provided financing. These aircraft are scheduled for delivery between first quarter 2015 and third quarter 2017.
 Second, and in connection with this decision, the company exercised its right to convert 30 Airbus A320 family NEO aircraft from firm orders to options. We believe this allows the company to take delivery of these aircraft on the original scheduled delivery dates in 2021 and 2022 at its sole discretion.
 On the regional side, we ended the quarter with 560 aircraft. First quarter, we retired 3 ERJ-140s and 1 Dash-100 aircraft and took delivery of 6 Embraer-175 aircraft. For the remainder of the year, the company expects to take delivery of 15 CRJ9 aircraft at its wholly owned subsidiary PSA, as well as 18 Embraer-175s and 10 CRJ9 aircraft, which will be operated by certain of the company's partner airlines.
 Over the remainder of the year, we will retire another Dash 8 and 37 E140 aircraft and expect to end the year at 565 regional aircraft.
 As we have previously disclosed, inclement weather in the first quarter of 2014 created some of the most difficult operating conditions in recent history for the company and the industry. In total, American canceled more than 34,000 flights during the quarter, most of which were due to weather. These cancellations unfavorably impacted revenue by approximately $115 million and net operating profit by approximately $60 million.
 For the quarter, total operating revenues were a record $10 billion, up 5.6% from the same period on a combined basis in 2013 on a 2% increase in system capacity. Capacity revenues were $8.7 billion, up 5% year-over-year with yields up 3.2%. Cargo revenues were up 4.9% to $206 million due to higher international freight volumes. And other operating revenues were up $1.1 billion, 10%.
 Versus a combined first quarter 2013, total RASM was up 2.9% in the first quarter of 2014 to a record $0.1367. Total RASM for the first quarter was $0.1577, up 3.5%. And Scott will talk about that a little bit later.
 The airline's operating expenses, excluding special items, for the first quarter of 2014 were $9.4 billion, up 2.4% as compared to the same combined period last year. Mainline operating cost per ASM, excluding special items, was $0.1374, up 0.4% year-over-year due primarily to higher salaries and benefit expenses, offset by lower fuel costs.
 Salaries and benefits were up 12.7% due primarily to the impact of merger-related labor contract cost increases and expenses associated with variable compensation programs primarily due to a 45% increase in stock price during the quarter.
 Our average mainline fuel price, including taxes and legacy airline -- American Airlines hedges for the first quarter of 2014 was $3.10 per gallon versus $3.20 per gallon last year.
 Excluding special items and fuel, our mainline cost per ASM was $0.0897 in the first quarter of 2014, up 3.9%. Regional operating cost per ASM was up 16 -- was $0.1662, up 5% from a year earlier. That's primarily due to 3.2% fewer ASMs in the 2014 period resulting from the weather cancellations.  Excluding special items and fuel, our consolidated CASM was up 3.7% in 2014.
 We ended the quarter with $10.6 billion in total cash and investments, of which $947 million was restricted. The company also has an undrawn revolving credit facility of $1 billion.
 During the quarter, the company generated $1.3 billion in cash flow from operations and also paid down $500 million in debt. Approximately $750 million of the company's unrestricted cash balance was held in Venezuelan bolivars valued at the weighted average applicable exchange rate of VEF 6.32 to $1.
 As Doug said, since the merger closed, the company has paid $542 million in tax withholdings for employees in lieu of issuing shares of common stock as compensation under the planned reorganization, thereby reducing the number of shares expected to be issued under the plan by approximately 20 million.
 Additionally, the company has elected to utilize approximately $175 million of cash to settle the remaining $22 million principal amount of the US Airways Group 7.25% convertible notes due May 15, 2014, which will further reduce shares outstanding by approximately 4 million. Taken together, the company now anticipates the total number of shares outstanding will be 736 million, which is 20 million fewer shares than expected under the plan of reorganization. Although not a share repurchase, we believe this is the most significant share reduction by any airline this year.
 Turning now to guidance. We are reducing overall system capacity slightly versus previous guidance. We continue to modify the network, and thus, have reduced some unprofitable flying, like Charlotte-Rio and cutbacks on international seasonal service, earlier than planned.
 Mainline expected to be up approximately 3% in 2014, of which international capacity expected to be up 7% and domestic capacity up approximately 1%.
 Mainline ASMs break down by the remainder of 2014 by quarter as follows: 60.9 billion in the second quarter, 62.1 billion in the third quarter, 59.1 billion in the fourth quarter.
 Regional capacity breaks down by quarter approximately 7.13 billion in the second quarter, 7.35 billion in the third quarter and 7.31 billion in the fourth quarter.
 Our CASM guidance takes into account the effects of the merger on our cost structure, including the anticipated synergy benefits and the impact of higher labor costs that were agreed to in connection with the merger. As such, we are now going to guide to CASM x fuel and special items in order to more -- or order for more accurate modeling.
 For the full year 2014, we are forecasting mainline CASM x special items and fuel to be up 1% to 3% versus 2013. This is driven by the cost of new labor contracts, higher depreciation, higher maintenance costs due to engine overhauls, offset by forecasted synergy benefits.
 By quarter, this breaks downs as follows: second quarter to be up 1% to 3%; third quarter, up 1% to 3%; fourth quarter, down 1% to up 1%; and the regional CASM is forecasted to be up approximately 2% to 4% in 2014.
 We're forecasting mainline fuel price to be approximately $3.06 per gallon in 2014. Using the April 22 forward curve, we expect fuel price to be in the range of $3.04 to $3.09 for 2014. Our forecast breaks down by quarter for the remainder of the year as follows: $3.03 to $3.08 in the second quarter, $3.04 to $3.09 in the third quarter and $2.99 to $3.04 in the fourth quarter.
 As of December 31, 2013, our deferred tax asset, which includes the $10.6 billion of NOL, was subject to a full val allowance. Mechanical utilization of this NOL in 2014, when profitable, does not result in a provision for taxes on our P&L. Using the midpoint of guidance we have provided, along with PRASM guidance Scott will give you, we expect our second quarter pretax margin to improve by more than 400 basis points year-over-year and to range between 10% and 12%.
 Looking at CapEx. Focus on the remainder of 2014 on integrating the airlines, while also making important investment in our fleet, product and operations. We're forecasting total net cash CapEx to be approximately $2.1 billion. This includes non-aircraft CapEx of $900 million and net aircraft CapEx of $1.2 billion.
 In summary, while this is very early in our integration, we are pleased with the results achieved thus far. I'd like to thank and congratulate all of our team members for their hard work and perseverance, particularly during the extremely difficult operating conditions in the first quarter. Thanks to their efforts, we have produced record financial results and have a tremendous start towards reaching our goal of restoring American to the world's greatest airline.
 With that, I'll turn it over to Scott. 
J. Kirby: Thanks, Derek, and I'd like to start by thanking all the people of American Airlines for the great job they did operationally during the first quarter in spite of the very difficult weather challenges. We've seen dramatic improvement in the operation, including a #1 on-time performance and #1 lowest mishandled baggage rate in January. Those are significant improvements in maintenance reliability, and the team is just running a great operation to start the second quarter.
 On the revenue front, our first quarter RASM was up 2.9%. The revenue environment was good throughout the quarter, though it was impacted by weather and the movement of Easter timing. We saw particular strength in our domestic network, RASM up 6% year-over-year. Pacific RASM was up 9%. Latin RASM was down 1%, which, given industry capacity growth of 7% and challenges in Venezuela and Argentina, we view as a fairly strong performance. Atlantic RASM was down 2% as the US Airways network transitioned out of Star Alliance but didn't join oneworld until March 31 and, therefore, was unable to take alliance bookings throughout the quarter.
 We're still early in the integration process, but we continue to be pleased with the progress thus far. I've already highlighted some of the operational improvements that we've seen. But in the first quarter, we also had some major milestones, including a successful "Customer Day One" cutover. We implemented the largest codeshare in airline history. We converted US Airways from Star to oneworld, began integrating our frequent flyer programs, combined operations in additional 32 airports, started winning new corporate business in sales with the combined network. And we have many more initiatives underway.
 All the work we're doing leaves us even more confident that we'll be able to meet or exceed our prior synergy guidance. More synergies will start to flow through in future quarters, and the future costs and revenue opportunities, including tasks like rebanking the Miami hub will begin to be implemented when we publish our August schedule change.
 Turning to the outlook going forward. We feel quite good about the demand environment. Demand remains strong across all geographies, but domestic is still the strongest region in the world for us. Demand is also strong in the international markets, but high-capacity growth rates in all regions means that RASM comps will be more difficult than they are domestically. In spite of the high-capacity growth rates, however, we currently expect RASM to be up in all regions in the second quarter. Given the strength we see in demand, we expect combined consolidated RASM to be up 4% to 6% year-over-year in Q2.
 In conclusion, we're very encouraged with the operating results at American. The demand environment remains robust, and we're excited about the future opportunities and are moving quickly to realize those opportunities. 
William Parker: Excellent. That's all we have, operator. We are ready for questions. 
Operator: [Operator Instructions] And we'll take our first questions from John Godyn with Morgan Stanley. 
John Godyn: One of the -- one question I get a lot from investors is how can we have confidence that the integration in 2015 is going to go well because a lot of the integration activities are sort of deferred until that point. I'm just curious, Doug and Scott, if you could kind of talk about what you can get ahead of and how much clarity you have today on the integration that you need to do in 2015 just to get people comfortable with that risk. 
William Parker: Sure, I'll start [ph] and Scott can follow up. Thanks, John. First off, the point is valid. As I said in my comments, the hard work still lies ahead. And the biggest thing, of course, is reservations, migration at some point that will occur, not in 2014 but sometime in 2015. To -- what I'd note, though, is we're -- we are highly cognizant of the issue. We have teams, I think, well-designed plans, well designed to manage issue. And we are going to do everything we possibly can to ensure that it goes well. We have the benefit of seeing -- of having done, went through this ourselves and seeing others do it, know how important it is to do it well and can learn from those experiences. We also have the benefit of having labor and our employees behind and supportive of the process, which helps. And we've taken some care as it relates to systems to ensure that we are, for the most part, using what we call "adopt-and-go," going with the larger system to cause the least disruption for systems integration. All those things combined, we believe, will allow us to do all this in a way that is -- that will be managed effectively and efficiently. But it's fair to note that, that work still lies ahead, and we're going to do everything we can to make sure that we don't have some of the issues that have affected other airlines in the past. Scott? 
J. Kirby: Yes. I mean, I -- we can't know for sure what will happen, and I'm certain that we will have some issues. Doug described our process pretty well. What I would add is we've been through this -- many of us have been through this with the America West-US Airways once before. Many people on the American side have been through it with TWA, and we've had a really good start. We've done -- we haven't done the hardest things yet, like the res system cutover. But we've done some really big initiatives like the "Customer Day One" initiative and the integration movement of US Airways into oneworld and the codeshare implementation. And in this merger, those things were all more complicated because there was no relationship between US Airways and American premerger, unlike both the United and Delta merger. So those were much more complicated than they were anywhere else. So those were big deals, and we did those successfully with very minimal impacts. And that makes us feel good that the people we have working on it and the process is going to be successful when we finish everything. 
John Godyn: That's great. And Scott, on the 2Q PRASM, I thought I heard you say that Asia Pacific was up in the high single-digits. If I heard that right, could you just kind of elaborate on how you guys are approaching international differently than maybe some of the peers are, because you're seeing phenomenal results? 
J. Kirby: Yes, I think it's probably not an apples-to-oranges comparison for comparing us to the others because they have much bigger operations. And so we've done some things to improve slot times for example. And that has meaningful help, and we have -- as few of flights today to Asia as we do, those can have a big effect. One of the other things that's more structural is, I think, shares -- see some shifting of shares, we've seen pretty big double-digit improvement in our premium revenues, which is generally reflective of winning share. So I think we're doing a great job tactically on winning share. But I don't think we're directly comparable to the others just because we're so much smaller. We're doing well, but probably, not directly comparable to the others. 
Operator: And we'll take our next question from Jamie Baker with JPMorgan. 
Jamie Baker: First, a clarification for Derek. Your 10% to 12% operating margin -- I'm sorry, see, I made the mistake that everybody else has. Your 10% to 12% margin guide is a pretax number, not comparable to the 14%, 16% from Delta. Please clarify. 
Derek Kerr: Exactly correct. Yes, we believe pretax margins are the right way to look at it. 
Jamie Baker: Sorry to use your call as a soapbox, guys. 
Derek Kerr: Jamie, hold on. 
William Parker: Jamie, it's Doug. I'll use it as a soapbox. Now look this is -- I don't know how it's happened, but at some point in the last couple of years, the market or some -- or analysts or whoever are starting to look at operating margin for airlines, which is something, from my old CFO days, we worked really hard to get people to stop doing because it's not a good measure of -- in the airline business, it's an FTC [ph] measure, of course. But it's not a good measure for airlines because just because you would never look at a balance sheet debt without capitalizing operating leases. You shouldn't look at operating margins at airlines and think that doesn't include ownership costs because it does. It includes a lot of them. So we have always -- I don't know, it's -- I shouldn't take credit for this. You all remember Larry Kellner, back at Continental, got everyone convinced to stop looking at this years ago back when the airline made money a long time ago. And somehow, in between the time he started losing money and new analysts came around, people are looking at it again. But it's just -- it's not a valid measure to look at airline performance because if you want to look at operating performance, you want to get operating performance, look at EBITDAR margins. Quickly, people started saying, "Well I don't like to look at EBITDAR margins because it excludes too much." We agree with that. I think, the right measure to compare it on is pretax margins. So it's not a huge deal because I don't think there are big gaps between operating -- relatively between airlines. So it's just we don't -- we're not going to talk about operating margins because it's not a measure to look at operating performance for airlines. We -- so the numbers from American are going to be pretax margin numbers. 
Jamie Baker: Excellent. No pushback from me on that. That doesn't use up my time for the question, though, does it? 
William Parker: No, that was my speech. 
Jamie Baker: No, no. It was very valuable, Doug. I appreciate that, and I'm glad to see the market has gotten the message. I was going to ask you why you don't formalize the buyback program, but your prepared remarks sort of cut me off on that one. So a couple for Scott if I may. The Atlantic was your worst geography on a RASM basis. I'm curious if that's U.K.-specific or something broader and also any changes you might make in confronting that situation. And second, also for Scott, maybe Derek, Delta's move to a revenue-based frequent flyer program came after you had closed the merger. I'm curious if AAdvantage overhaul was part of the original synergy targets. Or as your competitors potentially lay down a new precedent, should we consider any hypothetical changes you make as incremental to what you've already guided on? 
J. Kirby: Okay. First across the Atlantic, our weakness was more in the old US Airways network, across all geographies in the US Airways network but more Continental Europe. And that was principally the fact that we weren't in an alliance, basically, for the first quarter. So we had no alliance bookings for the whole quarter, and we expect that to rectify. It probably does mean some capacity moves around within Europe because of -- because of moving out of Star and into oneworld. But I think that's probably the biggest explanation for the Atlantic. As to the frequent flyer program, we've started making some changes already. We did anticipate, when we merged, that we will get some synergies from the frequent flyer program, and actually, that's a big part of the synergies. But with regard to what Delta's done, we -- even if we wanted to change it, couldn't change it today because we've got so much work to do just to get the programs integrated. So our IT resources are a constraint and an appropriate constraint. And back to the first question on the call, we want to make sure the integration goes smoothly and goes well. And we know that IT is the biggest risk in that regard, and so we're not going to add on extra changes until we're finished with that. So any changes for us in conceptually changing the program probably are in next year sometime. But conceptually, it certainly makes sense to reward your best customers the most. So... 
Operator: We'll take our next question from Glenn Engel with Bank of America. 
Glenn Engel: We had Delta on their call talk about corporate revenues up about 6; United, about 2. Can you give us any flavor? And two, give us a flavor of just how business looks relative to leisure. 
J. Kirby: We were also up mid-single-digits on corporate revenue, and that's the number we've disclosed sometimes in the past. We're probably not going to disclose the specifics for the near term just because we need to get a normalized base. What that really means is, I can always make the corporate revenue number go up just by signing more corporate accounts, but that's not necessarily smart business. And so until we get to a kind of normalized base, which we were at US Airways so we were comfortable disclosing it, we're going to probably not talk about it. But we were also up mid-single-digits. I'd add that we've had some nice corporate wins in the sales team. It's anecdotal but a lot of anecdotes of winning corporate business and being able to use the power of the new network, particularly in places like New York, where you combine our transcon products with the shuttle flying, and that's just a powerful combination. 
Glenn Engel: Can you help us model... 
J. Kirby: So versus leisure. Business versus leisure, both are strong. I wouldn't classify one as stronger than the other. Both have been pretty strong. The first quarter, business revenues were distorted by the storms. I mean, the storms were significant enough that I think there actually probably was some lost revenue. Net of RASM is accretive, but there was some lost revenue because the storms were so bad. So that probably distorted the first quarter, but I think they're probably equally strong. 
Glenn Engel: Can you help us model income taxes for the year? 
Derek Kerr: Yes. They'll be no higher than $5 million each quarter. So what we had this quarter is probably what we'll have for the rest of the quarter for income taxes going forward for the rest of the year. 
Operator: And we will take our next question from Hunter Keay with Wolfe Research. 
Hunter Keay: Scott, can you talk about the benefit of some of the new initiatives you guys just recently announced lately truing up some of the stuff on the fee side from your airline? And usually you talked about $1 billion in synergies, and I know on the last call, you talked about $400 million of incremental opportunities with rebanking. Would you maybe care to quantify some of these new initiatives? And would they be incremental to that $1.4 billion? 
J. Kirby: This is hard for me to -- because I don't things as here is a synergy and here's a change to the business. It's all improvement to the core results. And so, some of this probably was in the $1.4 billion. Some of it may not have been. What I would say is, which I said in my prepared remarks, too, but is, we feel increasingly confident that the $1 billion plus $400 million, so $1.4 billion, that we're going to meet or exceed that. The kinds of changes that we made 1 month or so ago, just increased that level of confidence that we're going to at least hit those numbers. But we're not increasing the level of guidance, but our confidence gets higher every day. 
Hunter Keay: Okay, that's great. And maybe another one for you, Scott, too. You're talking about rebanking Miami, DFW and O'Hare, are we can going to see that -- we're presumably going to see that in margins, but are we also going to see that in PRASM, too? And how should we think about maybe quantifying it, maybe first by hub and then the total all-in contribution once everything is all done on a full run-rate basis? 
J. Kirby: Yes. So you'll see it in PRASM and you'll see it in CASM. It will cause our CASM to go up in each of those hubs, but the profitability will go up more. The $400 million you talked about as rebanking, that's one of the elements of the $400 million, but it wasn't the only one. The other 2 big elements are putting our -- seat density, increasing seat density on the aircraft. So we're already in the process of doing that. It really won't get fully done until end of next summer actually, it will take a while. But it will start rolling out right away. That is RASM negative, CASM positive. Rebanking is RASM positive, CASM negative. And then the final one is variable scheduling, which is RASM positive and largely CASM neutral. So in total, all those mean that -- are worth about $400 million. So RASM goes up $400 million over CASM. But it will be different by each one of them. And they'll really start coming in with the August schedule change, it'll kind of be the first schedule changes. But these won't get fully ramped up probably until next summer, we'll be pretty close to be fully ramped up on this. 
Operator: We'll take our next question from Michael Linenberg from Deutsche Bank. 
Michael Linenberg: Doug, just kind of going back to pretax versus operating, you sort of think about that volatility in the non-op area. And I guess you, to some extent, have been able to minimize that given your policy on hedging. Since the merger, I guess I'm asking, have you entered any new fuel hedges? And what are your thoughts on hedging on FX? I think American, historically, was a hedger in that area. Is that another area that you'll probably refrain from? Your thoughts on that> 
William Parker: Fuel, no change in our views on that, and don't anticipate doing any fuel hedging going forward. FX I'm looking... 
J. Kirby: American didn't hedge before, and we don't have any intent to start hedging. In most places, we have at least some balance of cost versus the currency. And the really the only place we have significant currency exposure is Venezuela. Less about conversion issues and more of -- or less about conversion and more about getting the money actually converted to dollars. 
Michael Linenberg: Okay, great. And then just back to sort of talking about metrics to focus on, like pretax margin. As you think about going forward, you sort of look at what some of the other carriers have done. They've either picked a metric or sort of a philosophy to get everybody on the team sort of working with the same playbook. Is that something that American rolls out, an ROIC target benchmark, an EPS growth rate benchmark, anything along those lines? Thoughts on that would be helpful. 
William Parker: Yes, yes, thanks, Mike. Yes, that's part of what I talked about -- what I was kind of getting at. Give us a few months to come back and tell you kind of what we think, to give you a better layout of our objective. Obviously, again, what I believe is -- look, we'll come back. I have a little bit of concern about those types of benchmarks. I think they undersell what the companies can do. I think our job is to go maximize profitability, to maximize return on capital. And I worry that companies that put targets in place like that, hit their target and then start spending on things instead of giving it back to the shareholders. So we want to be careful about that. We know -- I assure you that everything we're doing is focused on maximizing value for our shareholders. And in doing so, you need not worry that we're not looking at the right metrics. So we'll come back with the way we think. We plan to look at our business and we'll let you know how we plan to look at it on a going-forward basis. But it'll probably be different than what you're hearing from other airlines. 
Michael Linenberg: It's not a problem. I would say, look, the tax withholding buyback, I mean, look, that's just great evidence that you care a lot about the shareholders. 
Operator: We'll take our next question from Helane Becker with Cowen. 
Helane Becker: Just 2 questions. One, on Venezuela, specifically. I didn't get a chance to read the 10-Q this morning. But did you make a provision for not getting that -- any of your money back? 
Derek Kerr: No, we did not. 
Helane Becker: Okay. And the other question I had is with respect to seasonality of the earnings. How should we think about that going forward now and doing our modeling? And my question is really, based on the fact that I think, Doug, last year at one point or in a conference recently, you had said that you thought you needed to do about $1.5 billion in revenue to cover the labor cost increases that you're going to experience or are experiencing. And the first quarter, you were certainly on track to exceed that level. And a, I wonder if, is that right, that $1.5 billion number; and, b, just address the seasonality part. 
William Parker: Okay. Again, the $1.5 billion, Helane, I believe is consistent with what Scott talked about, the $1 billion in net synergies, which was about $1.5 billion in synergies in the company, offset by this labor increase that we've already -- largely already incurred. So that's a synergy number, not a seasonality number. And then, again, Scott said now we added $400 million, so that's net of $1.4 billion, I'm sorry. So we feel good about those numbers, as stated. As to seasonality, I'll look to Derek and Scott, but I think what I would do if I were you, Helane, is add the 2 American and US Airways historical numbers and that seasonality between the 2 shouldn't change dramatically. You're going to need to figure out a ramp into synergies over time, but we tried to give you some direction on that as well. Derek? 
Derek Kerr: No, I was just going to follow up. I mean, I think the -- it's more second and third quarter similar seasonality, then the fourth quarter, and then goes to the first quarter. So I think that's the -- that's where you're at from seasonality and earnings for quarter purposes. 
Operator: We'll take our next question from Dan McKenzie with Buckingham Research. 
Daniel McKenzie: I guess, my first question is on capital expenditures. And I'm just wondering if the disclosure statement is still the best proxy we have for looking ahead 1 to 3 years. And then, also, what do we need to keep in mind? And I guess what I mean by that, are there investments, either IT or product improvements that you've decided that you might now need to make that were not included initially because of the disclosure, sort of gross CapEx outlook? It seems like aircraft orders are moving around. Even any kind of directional commentary would be helpful. 
Derek Kerr: Yes, I think, Dan, the -- I mean, I haven't looked at disclosure segment in a while, so I'm not sure exactly where that is. But the run rate for non-op capital expenditures, we have about $900 million this year. I believe it'll ramp to somewhere in the $750 million going forward. That will include the $1.2 billion that we talked about to integrate the 2 airlines. So that'll be in that number. So I would expect that $900 million to ramp down to $750 million and then, overtime, be down a little bit more than that. The CapEx on aircraft, as we've talked about even on the last call, it's about $5.5 billion this year from an aircraft perspective. And then going forward, for at least the next 5 years, it is in that range. What we've tried to guide to now is what we believe will be the net of financing versus cash going out the door, which is the $1.2 billion that we have in our net aircraft CapEx and PDPs. That can vary depending on what we want to do going forward and how we want to finance aircraft. Most of the financings are committed to in 2014, all the leases and the things are all committed to. So that's a pretty good number in 2014. For 2015 and beyond, it just depends on -- we'll try to guide to that as we move forward. But there's just decisions we'll have to make in 2015 and beyond on financing of aircraft and how we finance those planes as they come forward. 
Daniel McKenzie: Understood. Okay, I appreciate that. And then, secondly, I'm wondering if you can talk about -- following up on the Venezuelan question earlier. I'm wondering if you could talk about what steps you've taken to limit your exposure to bolivars? And then just also talk about capacity in Latin American in general, looks like it's going to be up about 10% in the second quarter. And I appreciate the commentary for PRASM to be up in all regions, so that's encouraging. But I'm just wondering if you can talk about how you're working with LAN and TAM and how you're managing that geographic entity. 
J. Kirby: Well, we're pretty heavily engaged with the government on what's going to happen with the historical repatriations that we need to get. And we just don't have much to disclose. We don't have a way to hedge or change our exposure to bolivars, there's no mechanism for doing that. And so we are exposed to Venezuela, which is about 1.4% of our revenues. And we continue to work with the Venezuelan government on getting the money back. 
Daniel McKenzie: And then capacity, just in general, to Latin America? 
J. Kirby: In general, to Latin America, our capacity is up, overlapping with a lot of new service that started last year. But our capacity is up, I think about 7% in the next quarter and industry's up just a little bit more than that. So there is a lot of capacity from Latin America for the year. 
Daniel McKenzie: I get it. But I was just wondering if you can talk about, is there an opportunity to talk with LAN and TAM on managing that dynamic? 
J. Kirby: No, we don't have a joint business with them, and so that would be illegal. 
Operator: We'll take our next question from David Fintzen with Barclays. 
David Fintzen: A question for Scott, just on the timing of scheduled changes for summaries. And I had it in my head, Miami was getting rebanked more in the spring than post-summer. And then maybe the way to ask this is, as you think about kind of where you were post -- on deal close, in terms of the changes you wanted to make, kind of how are you tracking? Are you finding it sort of more comfortable in making sizable schedule changes? Or is there sort of a learning curve that's taking a little bit longer? Just kind of curious how that's tracking. 
J. Kirby: Well, the Miami schedule change, for example, is tracking exactly when we expected it to be. We always targeted the mid-August schedule change. The reason for that is, you need to get a schedule loaded 90 to 120 days in advance before -- so the customers can book it. And then you need some time to develop it, and particularly for such a change like this, you need time for the operations to be prepared for it, to review it. We're spending a lot of time with the folks involved in customs and border patrol in Miami to help with staffing issues there, and help increase the throughput, because it's something that's good for Miami and South Florida. But we're going to need help. So to get all that done and be prepared for the August schedule change, I think, is a -- I'm the most optimistic and aggressive guy around these things. And that's about as aggressive as I would've expected it to be. And in general, that's true of everything that's happening. Things are going -- decisions are being made fast. The IT has been responsive on getting us the changes in a time frame that we can get the things implement it. We feel really good about the timing and how quickly we're moving on synergy issues. 
David Fintzen: And then, do you need to see a bit of Miami to kind of have some lessons off of that before you start to do the same in Chicago and Dallas? Or can that be a pretty quick process? 
J. Kirby: No. We're working on the Chicago and Dallas schedule changes now. So we've finished with Miami. And the scheduling teams and the ops teams that worked on Miami have now turned their attention first to Chicago, and then Dallas will come after that. But there -- I mean, we will, I'm sure, learn lessons that can be incorporated into what we do there. But we will be building the schedules and loading the schedules, assuming that Miami is going to work and just moving forward. 
David Fintzen: Right. Okay, that makes sense. And just a quick one on the domestic versus international RASM in the second quarter. I mean, you mentioned, obviously, domestic higher than international's implicitly what you said -- you didn't say it explicitly. Is that -- how much wider is that spread than the first quarter? I mean, is that gapping out pretty dramatically, or is that a more subtle change? 
J. Kirby: I don't know. I mean, it was a decent size in the first quarter. So my guess is it'll be similar in the second quarter. It might even be a little wider, because capacity gets higher. But I don't have that sitting right in front of me, but capacity growth is a little bit more in the second quarter internationally, and so I would guess that spread will widen a little, if anything. 
Operator: And we'll take our next question from Thomas Kim from Goldman Sachs. 
Thomas Kim: I'd like to start off with a big-picture question with regard to your thoughts on the price volume mix for the domestic market. What are your thoughts about load factor, that 84%? I mean, do you think this is optimal? And then, I guess, related to that, to what extent do you think you can manage your revenue mix by pushing pricing a little bit further, even if it is at the expense of traffic? 
J. Kirby: Well, that's not a simple question. Actually, Steve Johnson is shaking his head at me. We're always trying to maximize revenue. And sometimes, that is lowering fares and sometimes that's raising fares. I think we do a pretty good job of it, and we'll continue doing that. 
Thomas Kim: I guess, presumably -- and I guess, also, another way of looking at it might be just regard to that corporate versus leisure mix. What sort of hard -- how much more upside do you potentially see with regard to the corporate share gains or corporate share growth as we look forward? I mean, the run rate that you highlighted for Q1, is that something we -- mid single-digit, is that something we could foresee going forward for Q2, Q3? Just given the sort of positive commentary out of somebody else who sees [ph] earlier today with regard to the outlook for demand? 
J. Kirby: Well, I think our outlook for demand across the industry is ripe and it's robust, both in corporate and in leisure. I think that specific to American Airlines, we will increase our share of both such businesses as a result of the merger, but more so in the corporate business, and that is part of our synergies. I think we will carry more business traffic than we would have. The combined airline will carry more business traffic than we would've individually. And so that we will -- effectively, we will win share. And I think that is going to happen. I think it's already starting to happen. But as you get the networks integrated, as you get to a single -- get to be a single airline, that will just improve over time. 
Daniel McKenzie: And just as a follow-on to that, more specific to the Atlantic, particularly the New York-London route. How has your share sort of evolved the last couple of quarters? And do you see that this might change with regard to the JV as presumably the competitiveness could increase with Delta going forward? Do you think you need to do anything differently with regard to what you're doing today? And do you potentially see risk to pricing as that JV ramps? 
J. Kirby: Well, I'm somewhat new to this, so I can't give you the real historical perspective. But I can say that the U.K. looks strong for us. We continue to do very well with the premium customers' end markets, like JFK to London. The pricing environment has actually improved out of the U.K. And so we're quite optimistic, we have a great partnership with British Airways, and it's a partnership, too, that we have attention at the highest level, both there and here, to try and maximize revenue. And I think people that are open-minded on both sides of the Atlantic about learning from things that all 3 of the airlines did, US Airways, American and BA, and maximizing revenues. So I feel really optimistic about that JV and our ability, over time, to improve performance across the Atlantic and improve performance out of the U.K. But for now, the U.K. looks pretty good. 
Operator: We'll take our next question from Savi Syth with Raymond James. 
Savanthi Syth: Just a couple of quick follow-up questions. On Venezuela, how much of that 1.1% -- 1.5% of revenue is actually in bolivars versus U.S. dollars? And also, I think the government was going to treat 2013 revenue and 2014 separately, and I was wondering if you've gotten paid for 2014? 
J. Kirby: The -- it's about 90% sold in Venezuela, so about 90% of the revenue is bolivars on those routes. And we have gotten paid for January of 2014, which is kind of the normal repatriation schedule, and we're hopeful we'll get paid for February in the near future. And we're talking to them about the 2013. And actually, we have some 2012 as well. But that 2012 and 2013 balance is about $700 and something million. 
Savanthi Syth: And then on just on the nonfuel cost. It looks like maybe the guidance for the year improved a bit. And I was just wondering where that was coming from despite maybe lower overall ASM. 
Derek Kerr: Yes, it's really just a change in the way we're going to give guidance to better do the modeling. So we changed it to just CASM x fuel and special items. So it really is -- I think it's closer to -- it's right on, there's no real change in CASM guidance from a nonfuel cost perspective. It's just the way we're looking at it as x fuel and x special versus x fuel, x special and x profit-sharing. 
Operator: And we'll take our next question from Duane Pfennigwerth with Evercore. 
Duane Pfennigwerth: Just on your order book. The 30 options -- or the 30 firm that converted to options, I guess, out in 2020. How should we interpret that? Is this kind of like the first baby step towards maybe a broader restructuring or is this sort of all you can do? 
Derek Kerr: Well, it's something that we can do right now, and we could do, so we've done that. We're going to constantly look at the order book and look at what we have, but that's just something that we can do this point in time. Right now, we don't have any rights to do anything else. We're happy with the orders that are out there. But it's something that we're going to look at going forward as we look at whole capital structure of the -- as we look at whole airline. But as of right now, we don't plan on making any other changes to the order book. 
Duane Pfennigwerth: Is it a function of -- I mean, this merger basically just closed and obviously, you have lots of priorities and lots of opportunities to improve top line and probably your cost structure. Is it a function of sequence or is it a function of really there's not as much flexibility as some of us might assume? 
William Parker: Well, and function of desire. Look, the airplanes are good capital investments that are replacing much older airplanes that are NPV positive capital commitments. So they are airplanes -- they are investments that the company wants to make and should make to modernize the fleet. So I don't think a major change in the order book would be in our shareholders' interest, whether there are ways to move some things around and fine-tune it, perhaps. But we're comfortable with the flexibility we have because we have with this, either the ability to stay essentially the same size as we have currently come in, and retire older planes, or have some modest growth if demand warrants. So we actually like where we are in terms of flexibility as it relates to the order book. The issue that was disclosed is one where, per the contract, American had lined up some financing with Airbus and per the -- and had the foresight to say, if we don't need this financing, which we now don't need given this performance, that we will have the flexibility to reduce some of the aircraft. And we availed ourselves of that flexibility because we're not going to use the financing. 
Duane Pfennigwerth: That's very helpful. And then just lastly, you mentioned we'd get an update on capital return, or at least your thinking. Can you give us some insight into the criteria or what you need to see as you evaluate next steps there? 
William Parker: Sure, just a little more time really. I mean, we're so focused on getting the airlines together and integrating and making -- and we want to be sure we do it right. So I think we all know directionally where we should be headed, and we're headed directionally in that area. It's just a matter of -- before we go make an announcement, we want to make sure that we've thought out all the issues and have done it right. So we'll do it thoughtfully, but also I think in a way that everyone will be pleased with the results. 
Operator: And now, we will begin taking questions from any media that is on the conference. [Operator Instructions] We'll take our first question from Terry Maxon with Dallas Morning News. 
Terry Maxon: We have Virgin and America scheduling announcement on Friday. Could you confirm that American is divesting the 2 gates at Love Field to that carrier? 
J. Kirby: No. 
William Parker: We cannot. We cannot We can confirm that, per the agreement with the Department of Justice, we agreed to divest those gates, but we have no other knowledge. 
Terry Maxon: You have no other knowledge? 
Stephen Johnson: This is Steve. We know that there are discussions going on. There are discussions among the 2 airlines, among -- and Dallas and the City of Dallas that owns the airport. But Southwest and Delta are still making a case that they should be entitled to this and will -- there'll be, I think, still a couple of weeks before we know how this is all going to settle. 
William Parker: And Terry -- Steve, correct me if I'm wrong. But Terry, the distinction, of course, of gates versus the slots. Slots were owned by the company, and these gates are owned by the city of Dallas. 
Stephen Johnson: Yes. 
Terry Maxon: Yes, they're not actually in slots at Dallas Love Field. 
William Parker: Right. Not slots, they're gates and -- anyway, we're involved somewhat. We're not -- we've agreed that we won't use them and the city's working with airlines as much as we are. 
Terry Maxon: Okay. Well, would -- some announcements then premature? 
Stephen Johnson: Well, I'll say that I was surprised when I found out that they had called a press conference. 
Terry Maxon: Okay, was that Steve? 
Stephen Johnson: Yes. 
Terry Maxon: Yes, okay. And I'll try a follow-up question. Spirit announced another expansion, I think, Kansas City and maybe Houston, this week. Are they still small enough that they're not a real bother to American Airlines? Or are they of such sufficient size that they're affecting your pricing and planning? 
J. Kirby: I would certainly never use the characterization that you used before they added growth or after. They're a competitor. They're a real competitor. They do well. And we care about them and competing with them and watch carefully what they do. We did before and we'll do after this as well. 
Terry Maxon: Was that Derek? 
J. Kirby: That's Scott. 
Operator: We'll take our next question from Susan Carey from the Wall Street Journal. 
Susan Carey: I'm sorry, but I missed Derek's explanation about what the storms cost the company in the way of revenue hit, and hit to the net. Can you just reprise those numbers, Derek, please? 
Derek Kerr: Yes. Sure, Susan. Cancellations impacted revenue by $115 million. 
Susan Carey: 1-1-5? 
Derek Kerr: 1-1-5, yes. And then net operating profit by $60 million, 6-0. 
Operator: We'll take our next question from Andrea Ahles with Fort Worth Star-Telegram. 
Andrea Ahles: I was wondering if you could talk a little bit of the future of Envoy Airlines now that the pilots had rejected the contract. Have you found another carrier that you want to use? A regional carrier that you want to use for the new regional jets you have coming online this year? Can you give any sort of color about the future of Envoy? 
J. Kirby: So we are in final negotiations with a couple of providers for placing the 175s. I'm not sure when we'll announce them. But at some point, we will, I believe, announce something. As to the future of Envoy, still a very important part of the airline. And we hope someday to be able to fly large regional jets at Envoy still. And we also want that Envoy to be a place, regardless of the latest contract, that the pilots can go and ultimately transition to the mainline here at American. 
Andrea Ahles: So when you mentioned a couple of providers that you are in final negotiations with, is Envoy not one of those? 
J. Kirby: No, it's not. 
Operator: We'll take our next question from Linda Loyd with The Philadelphia Inquirer. 
Linda Loyd: What is the seasonal capacity that you will be ending early? And when will this capacity be ending? And are any of these transatlantic flights out of Philadelphia? 
J. Kirby: I'm not sure. I don't think any of them are out of Philadelphia, but I'm not 100% sure. And it's a couple of Charlotte routes. Brussels and Belgium [ph]. 
Linda Loyd: And when you say ending early, you mean September instead of October, that sort of thing? 
J. Kirby: Yes. 
Operator: We'll take our next version from Karen Jacobs with Reuters. 
Karen Jacobs: I just had a question. I was just wondering if you're concerned about pilot availability issues with your regional carriers? There's been a lot of attention on that, as you know, this year. 
William Parker: Robert? 
Robert Isom: Karen, it's Robert Isom, the Chief Operating Officer. I think the concerns are warranted, but we see those as being down the road quite a bit. For now, if you take a look at our operation, certainly from a mainline perspective, and the regional carriers that we have that have some growth. They're operating and doing well and able to attract pilots. 
Operator: And we'll take our next question from Henry Harteveldt with Atmosphere Research. 
Henry Harteveldt: I have a question about main cabin extra. Is there any consideration about turning that into more of a true premium economy cabin on any of your longer-haul flights, whether transcon or international? 
J. Kirby: Nothing imminent, but we have a fantastic transcon product already. If you've not had the chance, you should go fly the A321 Transcon product. So we have a fantastic transcon product, it's not like regular NCE [ph]. And nothing imminent planned across the Atlantic, although that is one of the things that British Airways, their premium economy product, they do really well. And they're our partner. And so to the extent there's something we can learn and put at American Airlines, we are very open to that. That's one of the things that we're talking to them about. We don't have anything imminently planned. 
Operator: And we have no further questions in queue. I would now like to turn the call back over to our speakers for any additional or closing remarks. 
William Parker: Excellent. Thank you very much for all your interest. Again, I want to thank the whole team for the great job they've done in producing these record profits, and we're looking forward to having similar or better results in the future. Thank you, all, very much for your time. 
Operator: And this does conclude today's conference call. Thank you, all, for your participation. You may now disconnect.